Operator: Welcome to the Barclays Analyst and Investor Conference Call. I will now hand you over to Tushar Morzaria, Group Finance Director.
Tushar Morzaria: Thank you, operator, and good morning, everybody. I'm pleased to present to you today the second set of results since Antony and I updated you on the strategic direction for Barclays on May 8, and since then, we've made good progress on the targets we set out. Highlights for this quarter include increased pretax profits for both year-to-date and for the quarter; lower costs x CTA for the third consecutive quarter and, indeed, the lowest cost quarter for 5 years; a steady improvement in capital and leverage; a double-digit return on equity, excluding CTA in our core business; continued shrinkage of non-core; and an improvement in the book value of the company. Within these results, our traditional corporate and consumer businesses had a strong quarter, which helped offset some income weakness in our Investment Bank. You will recall that at the heart of the group's strategy is a more balanced Barclays, less relying on Investment Banking, delivering sustainable returns. And we can now start to see the benefits of that approach, with profits up for the third quarter compared to the prior year as we continue to transition the group. For this morning, I'll take you through an overview of our financial results. I'll then provide you -- I'll then provide an update on how we are performing against our 2016 commitments, including the performance of our core businesses, and finally, I'll cover progress on non-core. I'll comment on the performance over the first 9 months of the year except when looking at the Investment Bank and capital and balance sheet metrics, where I'll refer mainly to the quarter. The next slide shows a summary of the group financials. We've increased group adjusted profit before tax by 5% to GBP 4.9 billion. Now statutory profit before tax for the first 9 months of GBP 3.7 billion was up 31%, and attributable profit of GBP 1.5 billion was up from GBP 1.2 billion last year. Impairment improved by 32% to GBP 1.6 billion. We've continued to make steady progress on reducing operating expenses, and the total group adjusted cost base fell by 7% to GBP 13.2 billion. That compares to income, which was down 7%, giving us positive jaws when excluding CTA. The cost reduction came despite increased CTA charges, which were GBP 826 million in the year-to-date -- in the year to September, and litigation and conduct charges, which almost doubled. You will have seen that we also took a provision of GBP 500 million in Q3 for ongoing FX investigations, which we have adjusted for due to its size. As we now have nearly completed all of the redress required under the IRHP program, we are closing out the issue and are able to release GBP 160 million of this provision. Separately, in Q3, we increased our provision for PPI by GBP 170 million, reflecting our best estimate for future redress and costs. Other adjustments we've taken were for a loss of GBP 364 million in relation to our Spanish business given its anticipated disposal, as well as a gain on Lehman acquisition assets amounting to GBP 461 million as legal decisions and cash receipts reinforce our confidence in ultimate recoveries. After tax and minorities, including AT1 coupons, adjusted attributable profit was GBP 2.6 billion, and that generated an adjusted EPS of 16.1p. On May 8, Antony set out clear 2016 targets, against which we will track the progress of our plan. These are shown on this slide, and I want to update you on our progress toward these in more detail. First, group level targets on capital, leverage and dividend. We continue to have a sharp focus on our balance sheet, and this slide shows further improvement in Q3 of tangible net asset value, leverage and funding and liquidity. TNAV increased by 8p in Q3 to 287p, about half of which was a reversal of the foreign currency movements that reduced TNAV in Q2. We've also made good progress on improving our regulatory capital despite the headwinds from the additional provisions taken in Q3. CET1 capital has increased to GBP 42 billion, with RWAs remaining broadly stable at GBP 413 billion as the reduction in non-core was matched by a modest increase in our core businesses. As a result, group CET1 ratio has improved to 10.2%. Based on current RWA levels, we anticipate about 20 basis points of capital accretion as a result of completing the sale of our business in Spain, which would result in a 10.4% CET1 ratio. Estimated BCBS leverage exposure reduced to GBP 1.3 trillion given a leverage ratio of 3.5% at September 30. We resolved the increases in leverage exposure under the BCBS proposals and still boosted our leverage ratio. We've declared a 1p dividend for the quarter and reiterate our guidance for a 40% payout level as we also accrete and build capital. Let me now turn to core performance and ROE. ROE in our core businesses, Barclays of the future, stands at 10.5% year-to-date, which demonstrates a better balance of earnings and returns across the group, where good results from PCB, Africa Banking and Barclaycard offset the Investment Bank weakness in the quarter. So how is the Barclays of the future looking? The core business performed well in aggregate over the 9 months and generated an adjusted PBT of GBP 5.6 billion. We saw a steady improvement in impairment and operating expenses. However, this did not completely offset the effects of an income decline in the IB. We increased profits in PCB by 18% and in Barclaycard by 21%, and Africa Banking profits were up 11% on a constant-currency basis. Investment Bank performance was partly impacted by the effects of transitioning the business, and profits for the 9 months were GBP 1.3 billion. On costs, the significant progress we made in H1 continued in the third quarter, and total operating expenses for the core over 9 months were down 7% to GBP 11 billion, excluding CTA. Impairment in our core businesses improved by 12%, driven by PCB and Africa, core attributable profit of GBP 3.2 billion, and that generated a core EPS contribution of 20p. Core income growth outside the IB has come from positive movement in our net interest income as both net interest margin and customer assets increased. You can see the quarterly NIM progression -- overall NIM progression for PCB, Barclaycard and Africa Banking on this slide. There are some quarterly fluctuations in -- but NIM reached 416 basis points in Q3 and, for the year-to-date, increased by 6 basis points to 409, reflecting our attractive mix of retail and corporate in both secured and unsecured lending. Average customer assets increased by about 2% to GBP 278 billion, and altogether, this led to an increase in net interest income from these businesses of 4% to GBP 8.5 billion and GBP 9.1 billion for the group overall. Our core businesses are characterized by strong asset quality, and you can see on this slide, impairment reduced by 12% to GBP 1.4 billion, with an impairment release in the IB and lower charges across all other businesses year-on-year. We continue to see stable credit risk metrics, and we expect conditions to remain broadly stable in the near term. We do anticipate a modest increase in the impairment run rate in Q4, but our expectations are for 2014 full year impairment for the group to be slightly below guidance provided at the 2014 interim results. Turning now to core costs. This is an area where I'm particularly pleased with our performance. It's a critical aspect of our strategic plan to achieve sustainable and higher returns. We've driven core costs down 7%, excluding CTA, across most businesses year-on-year, and work is continuing to drive further reductions next year. Core costs, x CTA, have been falling every quarter since Q4 2013, reaching GBP 3.6 billion in Q3. As at the half year, we've broken out litigation and conduct charges within total operating expenses to help you understand our underlying cost base more clearly. And as I said at the start, we remain on track for our 2016 target of adjusted cost in the core businesses below GBP 14.5 billion. I now want to take you through each of our core businesses in turn, starting with Personal and Corporate Banking. We view the creation of PCB, which combines our retail, corporate and wealth businesses, as a crucial move in our strategic realignment. This is our largest division, with PBT of GBP 2.3 billion and the most allocated capital at around GBP 17 billion. We believe we can grow income while still reducing cost, with positive jaws delivering an increase in returns from the current 12.5% ROE and 16.7% RoTE. We continue to steadily increase our share of mortgage stock to 10.1%, as we have done for 23 of the last 24 quarters. Users of our mobile banking and Pingit payment apps fully doubled year-on-year. So we now have 3.3 million users of mobile banking and 1.9 million of Pingit. Overall, PCB income increased slightly to GBP 6.6 billion. That was driven by NII from savings and mortgages, partially offset by lower fee income. Impairment was down 21%, with some releases and recoveries in corporate lending. We've reduced total costs -- operating costs by 6%, reflecting headcount and other savings, which more than offset the higher CTA. In Q3, PCB achieved its lowest quarterly cost, excluding CTA, since the fourth quarter of 2012. Now Barclaycard. Here, we have a market-leading payments business, not just in the U.K. but internationally. It has a strong record of innovation and generates an attractive ROE. We've seen encouraging growth across all Barclaycard businesses and geographies, and we increased income by 6% to GBP 3.2 billion, with some headwind from year-on-year U.S. dollar weakness. Total costs were held flat while investing in the business for growth. We grew our customer base by 2.4 million and increased payments processed by 9% to GBP 190 billion. Balances also grew, with total loans reaching GBP 34.8 billion, up 15% year-on-year. And despite our larger portfolio, impairments were down 1%. Overall, Barclaycard increased PBT by 21% to GBP 1.1 billion, with an ROE of 18.5%. We continue to see further -- and we continue to see opportunities for further growth in this business. Let me now turn to Africa Banking. This is best viewed on a constant-currency basis, with PBT up by 11% on a constant rand basis. The improvement was driven by 8% income growth, also an 11% reduction in credit impairment charges. We invested in Africa over the 9 months, with increased spend on key initiatives in addition to higher staff costs. ROE for Africa Banking was 9.6%, reflecting the goodwill we hold on the group balance sheet. Return on tangible equity was 13.2%. Sterling results for Africa Banking were impacted by rand depreciation, but the underlying view is encouraging. Let me now turn to the Investment Bank. Performance in the third quarter compared to Q3 2013 shows a decline of 10% in income, driven by Investment Banking fees and Equities. This partly reflects headwinds from foreign currency movements. On a U.S.-dollar basis, income was down 5%. There will always be seasonality and some volatility in quarterly IB numbers even with the new business mix, and while this quarter's income was weaker than expected, there were several factors that influenced the outturn. You can see on this slide that banking income was down 4%, driven mostly by reductions in DCM and Advisory, with ECM broadly in line. In DCM, we had a strong prior year performance, generating a difficult comparator, and during this quarter, we reduced our participation in certain transactions in light of the U.S. regulatory guidelines around leverage finance. When we look at year-to-date, I am encouraged, nonetheless, that the IB is having a record year in M&A and DCM, and we have broadly maintained our rankings for year-to-date overall fee share of #2 in the U.K. and #6 for the U.S., of course, our key markets. Turning now to markets. Income, overall, in Q3 reduced 13% compared to the third quarter, with Equities down 25% following a strong first half. The Q3 Equities performance was negatively impacted by clients who temporarily suspended or reduced activity as a result of the dark pool allegations. The effect of this has been more significant than we initially anticipated and impacted trading beyond our LX platform. These client concerns are understandable. We've been working hard to address them and are making steady progress in bringing clients back online. The majority of these clients are now back trading with us, and we expect to be closer to more normal run rates during Q4. Our macro business performed well in Q3 and largely driven by an upswing in FX volatility late in the quarter. Excluding CTA, IB costs were down 7% year-to-date, and within this, non-comp costs were down 8% despite increased litigation and conduct, which reflects the good progress we are making in our cost savings program. Total comp costs reduced 6%, x CTA, despite a headwind of around GBP 150 million from the introduction of role-based pay. Combined with a drag from bonus deferrals, these hide some of the effect coming from this year's IB headcount reductions, but it also means we are well placed for cost reductions next year. As a result, PBT for the 9 months was down 38% to GBP 1.3 billion. RWAs in the IB have remained broadly stable at GBP 128 billion. Although we are disappointed with revenues this quarter in the IB, this reflects the factor that I've mentioned. But let me be clear: we are committed to our strategy of managing the IB and all of our businesses for that matter for sustainable, higher returns, and we will optimize costs and capital to achieve this. Now on non-core, which I want to take you through in some detail. Barclays Non-Core made further progress in the quarter and reported declines in income, impairment and costs. That resulted in a decrease in the loss before tax from GBP 965 million to GBP 648 million. RWAs fell by GBP 29 billion over the 9 months, and average allocated equity reduced by GBP 3.6 billion year-to-date to GBP 13.8 billion. As a result of reduced losses and lower allocated capital, the non-core drag on group ROE was 4.2% for the 9 months to September 30, compared to 6.7% for the prior year. We agreed the sale of our Spanish business during Q3, a significant transaction, which we expect to complete around year-end. We've already reflected in Q3 the majority of the losses involved with an adjusting item, but the RWAs will not be released until completion, adding about 20 basis points to our CET1 ratio, as I mentioned earlier. We expect about GBP 100 million of further losses on completion as a result of currency translation. Non-core income fell 44% to the first 9 months of 2013, with a significant decline in business and in securities and loans income. These income declines are well within our expectations and were offset somewhat by the 77% reduction in impairment. Looking to 2015, I expect our non-core income will continue to come off quickly and will be at significantly lower levels. Non-core costs were down 26% to GBP 1.5 billion, with a significant reduction in CTA. Excluding CTA, costs reduced by 16% to GBP 1.3 billion. The remaining cost base, approximately half, relates to retail operations. The cost base reduction naturally lags the income decline, but around GBP 240 million of the annualized cost base -- sorry, but around GBP 240 million of the cost on an annualized basis will drop out with the Spain disposal. As we've said before, we expect to keep the returns drag to between the tram lines of 3% and 6%. Reducing the capital tied up in non-core and returning it to the core is as important as managing the operating losses, and we continue to make good progress on this. Since the start of the year, we reduced non-core RWAs by GBP 29 billion to GBP 81 billion, and that was mostly driven by sales and paydowns. In Q3, we reduced RWAs in non-core by over GBP 6 billion as well as our priority shifting towards business disposals. RWA reductions came from derivative optimization and legacy asset sell-down, with further reductions of Investment Banking positions. Leverage exposure in non-core was also reduced, with the BCBS measure down by about GBP 68 billion to GBP 317 billion, primarily driven by lower SFTs and derivative exposures. In terms of the interim guidance for 2014 that I gave in May, we are well on track to meet the 2014 target of GBP 80 billion for RWAs, excluding Spain, and GBP 300 billion for leverage exposure. I'll now turn to cover costs for the group level. Our costs are down for the third successive quarter at just below GBP 4 billion, excluding CTA, and in Q3, we've delivered the lowest quarterly cost for 5 years. We've reduced total headcount by 8,000 over the course of this year. We remain on track for our full year target of around GBP 17 billion, although the final number will be impacted by Q4 FX rates and we are seeing some headwinds from a strengthening rand. Overall, CTA charges are coming in slightly less than our original estimates, with GBP 826 million spent over the 9 months across the group. We now estimate total CTA for the year of around GBP 1.3 billion versus earlier guidance of GBP 1.6 billion, with GBP 200 million deferred to 2015 and GBP 100 million being saved within Transform as we reach our targets without this additional investment. So the group, as a whole, is on track with the Transform program, and underlying performance remains good. Legacy issues continue to impact our business and the sector as a whole. Investment Bank is proceeding with a major transition, and we have been clear that repositioning this business will take time although we already have a much better balance to the group. And to remind you, highlights for this quarter include: increased pretax profits both year-to-date and for the quarter; lower costs, x CTA, for the third consecutive quarter; steady improvement in capital and leverage; double-digit return on equity, x CTA, in our core business; continued shrinkage of non-core; and improvement in the book value of the company. Thank you, and now why don't we move to questions?
Operator: [Operator Instructions]
Tushar Morzaria: So I think the first question is from Raul. [Operator Instructions] So with that, why don't we move on? I think Raul from JPMorgan, you're first up.
Raul Sinha - JP Morgan Chase & Co, Research Division: Tushar, I'll limit myself to 2 then. I had 3. The first one is on the Lehman reserve. Clearly, this is the second time you've taken a write-back on that. Can I ask how much is left now? And how do you actually expect the case to evolve going forward? Is this something now that goes quiet for a while? Or is there a potential for more to come back to Barclays around this area?
Tushar Morzaria: So yes, you may recall that we have a 1.6 -- we had a $1.6 billion receivable provision in our balance sheet for Lehman. We've released part of that -- sorry, that's in dollars, just to be clear, Raul. We released part of that this quarter. So the remaining receivable in dollars is a further USD 850 million. Where do we go from here? This has been running on for a number of years, this court case, and the reason why we released part of that receivable this quarter was a direct consequence of the cases that came to appeal and were adjudicated in our favor, I think, twice over the quarter, and we've also received cash payments in relation to some of these assets as well. So that allows us to be in a position to release part of the receivable. We'll see how the remaining legal process goes from here and whether we're in a position to release further receivables, and that's unclear at this stage.
Raul Sinha - JP Morgan Chase & Co, Research Division: Is there a time line on this?
Tushar Morzaria: There's no -- as can you imagine, with legal things -- I mean, this thing has been running on for 6 years. So I'd like to say it doesn't take another 6 years, but I can't give you, unfortunately, anything more specific than that as the way legal cases seem to have a time line of their own, unfortunately.
Raul Sinha - JP Morgan Chase & Co, Research Division: And then can I, secondly, just ask you -- maybe to share your thoughts on the leverage ratio announcement tomorrow? Maybe before you tell us where you expect it to be, if you want to tell us that. But maybe, could you talk about where do you think Barclays can actually operate in the long term on the leverage target? And do you think -- are you comfortable to operate the bank at 5%, let's say, if you were required to by the FPC?
Tushar Morzaria: Yes, Raul, I mean, we'll see the paper from the PRA tomorrow, so I'm not sure it's any point in any of us speculating what we will learn about tomorrow. But leverage, for us, we made quite significant progress over the last 12 months. We guided to being at 3% at the halfway point in 2014 on the PRA measure. We got to that by the beginning of the year. We guided to 3.5% now on the BCBS measure by the end of next year -- we've got to that at least a year early. And if you look at the leverage exposure reduction that we've had over the last 12 months or so, I mean, it's a little bit apples and oranges because we switched from the PRA leverage exposure measure to BCBS, but you could probably estimate on a BCBS measure the full-scale reduction somewhere around GBP 250 million to -- yes, somewhere around GBP 250 million, and that's without significant losses that we've incurred and covered. So I think we've got very good momentum, very good progress in reducing our leverage exposure, and we've got a good plan to get after this. You also know, as you've seen, we've guided to wanting to run the company greater than 4%, and that's absolutely our firm intention and feel very comfortable being able to do that. If leverage requirements are higher than that even, let's say, greater than 5%, I think it really boils down to timing. I think over a reasonable time frame, that's entirely achievable for us, and we'll see how that is tomorrow. But leverage is, I think, a reasonable story of progression for us, and I think we have very good momentum. Let's move to Chintan.
Chintan Joshi - Nomura Securities Co. Ltd., Research Division: Tushar, 2 for me. First, on Investment Banking, just following the conversation you we're just having, when you did the strategic update, I suspect you had something like a 4.5% leverage ratio in your planning. You have mentioned you will optimize cost and capital to achieve profitability in this division. Say, we get a 5% or even a high leverage ratio tomorrow, is it fair to assume then that you'll have to rethink the size of the Investment Bank to help get you to your leverage ratio? That's the first, and then one on FX.
Tushar Morzaria: Yes, do you want to just give me that question as well? Then I'll take them both in one shot.
Chintan Joshi - Nomura Securities Co. Ltd., Research Division: Sure. You've taken GBP 0.5 billion on FX litigation. Is this your first stab at a probability adjusted model-based estimate? Or is this kind of what you think you will end up being?
Tushar Morzaria: All right. Thanks, Chintan. Let me take them in the order you gave them. So again, I guess the heart of your question is, what happens if there's a 5% leverage ratio announced tomorrow and what implication would that have to our Investment Bank? Again, I don't want to sort of speculate what may or may not be announced tomorrow. I would say that when you look at leverage ratio for the group, I mean, you probably won't be able to see this from the numbers. But to sort of help you guys out, if you look at our core businesses, we're actually already operating close to a 4% leverage ratio in the core businesses, there's obviously more leverage than that in the non-core businesses, but you've seen we've taken now -- more than GBP 60-odd billion of leverage in the non-core just in this quarter, and we'll be hitting our GBP 300 billion milestone that we indicated to. So I think when I look at the balance for the group, you can see the core group already operating at more reasonable leverage ratios and the balance of the reduction coming out of non-core, and we've got really good momentum in there. Within that, of course, it includes the core Investment Bank, then I think that's a reasonable position to be in. I think when -- regarding the foreign exchange, I mean, I think probably many of you want to know a bit more about this, but unfortunately there's not a lot I'm going to be able to say on a call like this. I'll just sort of go back to the very careful words that we chose. We're in sort of live dialogues with a number of regulatory agencies, and for those that we're in live dialogue with, this GBP 500 million provision is our best estimate of the provision we should be taking. These are fluid discussions and we'll see what -- we'll see how that evolves, but that's our best estimate today.
Chintan Joshi - Nomura Securities Co. Ltd., Research Division: Just quickly, the -- when you did your strategic update, what leverage ratio were you assuming for core?
Tushar Morzaria: Well, that's a third question, Chintan. But as you know, we guided to greater than 4% for the group as a whole, and we expect to have a relatively small non-core unit by the time we get there. So that should give you a good sense of how we would -- are thinking the core would play out.
Chintan Joshi - Nomura Securities Co. Ltd., Research Division: Sorry for the third.
Tushar Morzaria: Yes, and no worries, I'm only joking. Okay, we've got Michael from Bank of America.
Michael Helsby - BofA Merrill Lynch, Research Division: Just a couple from me then. So first, on the non-IB revenue, really solid performance in PBC revenue up 2% quarter-on-quarter. It does feel like the trends are different in retail and corporate though. So if you give us some -- a bit more commentary on the revenue trends in those businesses and if you can break out a bit more granularity going forward, that would be really, really helpful. And just attached to that, equally good performance in Barclaycard, revenues up 4% quarter-on-quarter. How much of this is FX going back in your favor in Q3 versus the underlying revenue growth? And -- so that's question 1. And question 2 is just if you -- thanks for your comments on Investment Banking in Equities. The IB was really poor as well quarter-on-quarter and actually, I think, stood out relative to the industry. Was that impacted by all the dark pool stuff as well? And if you could extend your comments to how that pipeline and mandate has progressed through the quarter and into the outlook, that would be very kind.
Tushar Morzaria: Yes. Thanks, Michael. Just talking about -- going to your first question -- I'll take them in the order you gave them, non-IB revenues, the mix in Personal and Corporate Banking. Really, the positives in this quarter were very much in our residential mortgages and personal savings products, where we continue to improve and increase our stock of mortgage market share. We've been growing that stock larger than the market is growing. I think I said 23 out of 24 quarters. So -- oh, sorry, months, I should say, and that's been a very good business for us. Our savings product has also seen good returns there as well. In fact, now what I would say is across our retail businesses, current account balances have grown steadily, and we think they're probably growing quicker than the market, those balances, savings growing nicely and we're seeing nice margin expansion from them. Mortgages, I've talked about. On the corporate side, we have seen some softness in fees really from cash management, mostly related to foreign exchange, and we're seeing a little bit of compression in sort of liability balances. But overall, again, when I look at our corporate lending business, that's growing a little bit quicker than we see the market, at least the market we're operating in. I look at our SME lending. Again, that's doing very well relative to market going a little bit quicker than we see the market we're operating in. So I think the mix is quite nice and well balanced, but probably, retail driving the numbers at the moment relative to corporate. Card, you're right, we did have a little bit of tailwind from foreign exchange. I actually, don't have the breakout for you on the quarter. Obviously, for the full year, it's actually sort of a headwind over the first 9 months, and income was up 6% over that period, including that headwind. We could get that breakout for you. So -- but it's a, nice steady improvement coming from growing balances there. Investment Banking division and the weakness there, I think there's 2 things going on there. There's a little bit of a calendar effect. So we did have a super strong second quarter in Investment Banking fees. We're not going to be able to run at those kind of levels every single quarter. You've seen a little bit of a calendar effect in terms of deal closing timetables, and we did see some M&A transactions sort of push into the fourth quarter from the third quarter. That sort of impacted that as well. I did sort of talk about DCM being a little bit weaker than we anticipated, mostly from leverage finance, where we decided not to participate in certain transactions that were beyond sort of regulatory guidelines. In terms of -- I look at the Investment Banking division. I look at our U.K. market share, our sort of fee share. That's a little bit higher than it was last year, in fact. So we've improved our market share there, and we're a good #2. In the U.S., we were fifth. We dropped a place to sixth in fee share. I think 4, 5, 6 and 7 tend to be very tightly bunched. So I think you'll see a little bit of jostling of places for there in any one quarter, but by and large, that business is actually holding up pretty well. I think you're seeing more of a calendar effect and a little bit of a pullback from -- left in for us.
Michael Helsby - BofA Merrill Lynch, Research Division: So you didn't see any -- where you can clearly see clients leaving you from the dark pool perspective and then coming back. You didn't lose any mandates or see any obvious linkage from that dark pool...
Tushar Morzaria: Not in...
Michael Helsby - BofA Merrill Lynch, Research Division: Allocation not in the IB.
Tushar Morzaria: Yes, not in capital markets, no, no. Thanks, Michael. Thanks. We've got Chris from Morgan Stanley.
Chris Manners - Morgan Stanley, Research Division: So 2 questions, if I may. The first one is, you mentioned reports of 16.1p of adjusted EPS for the 9 months, and I'm assuming you, hopefully, won't make a loss in the fourth quarter. And so, well, with your 40% payout ratio minimum, that would indicate to me that you're going to actually increase the dividend this year from -- this is applying 40% to the number greater than 16.1p to get higher than your 6.5p. And given sort of your focus on capital build, I was trying to work out how I marry up that payout ratio commitment with raising the dividend with the -- building the capital ratio. Second question was just sort of maybe, again, Michael's request there, whether we hit sort of -- have a bit more divisional disclosure on the retail versus corporate in the U.K. Obviously, 2 really big blocks they're bigger than Africa each, and so I would have -- be really helpful if we could see how they're trending. And I saw that -- obviously, you're making good progress on the retail side, but you actually have loans down, deposits down in that sort of overall, just trying to work out what is going on there. And you have the net interest margin of 12 basis points quarter-on-quarter and sort of how sustainable is that?
Tushar Morzaria: Yes, no, thanks, Chris. So taking the questions in order you gave them. So the firstly, on how we're thinking about dividends. I mean, Chris, there's really no new news there. Our philosophy is to continue to try and be a good dividend payer, and we've guided to a 40% payout on adjusted EPS, and there's really no change in guidance, there's obviously dividend decisions for the full year, I can't comment on obviously now, and that's a matter for the board. But really no change in guidance there. In terms of your sort of subsidiary point though there, capital build versus distribution. We are very focused on capital accretion. And if you look at this year, taking into account Spain, just so we look at the full book ends. We started the year at 9.1 on a CET1. We'll be at 10.4 including the sale of Spain. And as you all know, that's after, if you like, accruing for a 40% payout of dividend per regulatory capital rules. So we feel pretty good about the capital accretion that we've had this year as well as in the context of some of the provisions that we've taken for legacy conduct issues as well. In terms of echoing Michael's request for more disclosure on corporate U.K., point taken. We'll have a think about that, but, understand why that would be of interest to you and appreciate that. In terms of where we go on NIM, the NIM expansion that you saw this quarter really coming from mortgages and savings, probably more from savings really. On the corporate side, we have seen cash balances and assets decrease slightly but not in an area that actually worries me too much. As I say, when I look at where we are for that market, the underlying trends are actually pretty good for us, so I think we're in a very good place. I don't think you would expect to see that NIM expansion. I mean -- I think it'll be broadly stable. I don't think you'll see a continuing at this sort of trend, prospectively. I mean, time will tell, but I think it will remain broadly stable. We've got Joseph from Jefferies.
Joseph Dickerson - Jefferies LLC, Research Division: First question. You mentioned that you expected a more normal Q4 in Equities. Can you indicate whether or not this has been the case Q4 to date, i.e. the month of October. And secondly, to ask I guess Chris' question again on the capital build versus payout. It looks like you'll be delivering your 10.5% CET1 target early, clearly by the end of this year pro forma for Spain. So you've indicated that you wouldn't be increasing your payout ratio until you cross that Rubicon. Do you think it's -- there would be scope to increase to the higher end of your payout ratio next year as you go into the 11% range?
Tushar Morzaria: Thanks, Joseph, yes. In terms of, just taking the questions in the order you gave them. Where are we in Q4 for Equities. I guided to -- I think we'll get back to normal run rates over the course of the quarter. I wouldn't say we're there yet. Having said that, October is a slightly tricky month to look through because obviously we had a lot of volatility partway through the quarter with very large movements, particularly in the fixed income markets. So just make it a little bit trickier to look through. But I think as we go through the quarter, we'll get closer to normal run rates, but I won't say we're there yet. In terms of capital build versus payout. You're right in the sense we guided to a 40% payout ratio until we get to 10.5% and then we'll review it again then. I think we'll make the same deliberations where we'll look to see the relative balance between capital accretion and distribution. But we'll make that assessment as and when we get to 10.5%. I would continue to guide you to the lower end of the payout ratio for now. Let me move on to the next question, Martin from Goldman.
Martin Leitgeb - Goldman Sachs Group Inc., Research Division: My first question is regards to your equity revenues in the Investment Bank, and obviously, the revenues, they were down GBP 234 million in the quarter. And I was just wondering if you could help us size this a bit more within subdivisions of Equities. How much of that GBP 234 million decline is attributable to dark pool itself? And how much of the residual decline is caused or was driven by cash equities, prime brokerage or derivatives? And the second question is with regards to your U.S. asset reduction. Just looking at your balance sheet for Barclays Capital as of end of June, which is just recently published, it doesn't seem like that there was a material decline yet in total assets. Could you guide us when we could expect here some of the asset reduction, probably repos, to commence? Is that going to be closer to IHC who is now introduced in the U.S.?
Tushar Morzaria: Yes, thanks, Martin. You sort of -- I tend to look at year-on-year performance for Equities rather linked quarters, so I think you get a better sense of -- there's usually a fairly pronounced reduction from Q2 to Q3 in Equities at least for our business because of the dividend season tends to be clustered around Q2, and that tends to be the best quarter of the year typically. But having said that, your point is still a good point, which is even if you look at year-on-year, there is a meaningful decline in revenues from, say, GBP 524 million down to GBP 395 million. How much of that was from dark pool? Look, it's very hard to be precise around these things, but we had good strong momentum in the first half of the year. So I think in my mind, I would put the bulk of the reduction year-on-year probably driven by dark pools. And it was across. It wasn't just in the cash, but also the LX pool itself is very directly impacted, and it's very easy to measure. But as you know, the commissions from the LX pool in of itself on that material, but the broader impact to U.S. cash Equities financing and for that matter derivatives franchise did get impacted. So I'd say probably the majority of the impact was coming from that, but as I say, clients have come back. Volumes are increasing, and we are getting back closer to normal run rates. And clients have been very good with us, have been very constructive and we've had very positive dialogues with many of them, so we feel pretty good about that. In terms of U.S. balance sheet and asset reduction. As you'll be more than familiar, we'll be submitting our IHC plan for the Fed in January of next year, beginning of January. That will clearly lay out with our regulators what our balance sheet plans are to ensure that we're compliant with all of the local regulations that are required of us. It's premature for me until we have that dialogue with the regulators to be talking very openly about it. It's disrespectful of that dialogue that we're having with them first. But so you should expect to hear from us over the course of next year in a bit more detail of what our plans are. But in summary, Martin, in terms of meeting leverage requirements, whether it's local to the U.S. or group requirements, we have good momentum and feel pretty confident that we should be able to deal with whatever requirements are made of us. Should we move to the next question, we have JP from UBS.
John-Paul Crutchley - UBS Investment Bank, Research Division: JP here. Two questions, if I can, quickly again. Maybe just taking a step back on the IB and maybe just taking a slightly high-level perspective. Clearly, the business has been repositioned and you're getting more of a feel how this now runs. I mean clearly, having 40% or so of your tangible equity tied up in a business that's making at best mid-single-digit return or I guess about 7% if you exclude the CTA charges. There's obviously still the most meaningful drag in terms of the group, in terms of where the group is currently valued at the moment. We can see the year-on-year delta in terms of cost of revenues. I guess now that you're getting a feel for how this business is actually operating, what do you think it takes to actually get this back to more close of like a group cost of equity type number? Do you view this as being fundamentally underearning at moment because of a difficult markets we're having, we are all very aware of the typical structural issues out there? And do you think you can actually get that back up through the revenue momentum? Or do we have to rethink more about the cap allocated to this business over the longer term? So a few words on that would be helpful. And my second point is related -- just on the FX or the FX provision, I should say, sorry. The FX provision that’s obviously been taken at a group level rather than a divisional level at the moment. I just wondered whether the taking of that charge has any impact in terms of how you think about compensation and bonus accruals as you roll in towards the year-end. Or whether you very much you view that as a group charge, taken at a group level rather than impacting directly on individual business lines and their individual cost basis?
Tushar Morzaria: Yes, thanks, JP. In terms of the sort of more broader question around the Investment Bank. We set out at May that we think the Investment Bank for Barclays should represent about, in terms of one measure of capital, 30% of risk-weighted assets and tend to run in that proportion. When I look at group risk-weighted assets, they're running at about 31%, so I think we're sort of in that sort of range. And that, for us, should allow the group to continue to generate reasonable and growing returns. And even though we had a disappointing revenue print in the third quarter, we were able to increase our profits year-on-year and for the quarter. So I think the balance for the group feels much better than it was. I mean if you sort of go back a year ago, obviously, we were much more reliant on the Investment Banking division, that we've never be able to sort of increase capital book value profits with a decline in Investment Banking revenues. So I think the balance for the group feels pretty good at the moment. But you're absolutely right, at 7%, say, return on equity isn't where we want to be. We want to be higher than that and definitely closer and above group cost of equity. And how do we get there? As you know, as you pointed out, there are 3 levers: revenue, costs and capital. Revenues, a little bit harder to be incredibly specific on what they'll be from any one quarter to the next. We had a better second quarter and we had at third quarter -- some factors that sort of explained that and we'll get back to more normal levels I think over time. Cost is something we can really control, and costs we're after very aggressively. So we're at the lowest group costs for 5 years. We've seen us struck down our cost base 3 years successively. If you look inside the IB, the IB cost story is actually pretty powerful, but it's masked by certain things. So if you strip out CTA for the moment, we're down 8% year-on-year. Now that's after paying for role-based pay, which is GBP 150 million included in that number. It's after paying for additional conduct and mitigation charges, which we leave inside the business. It's after paying for elevated legal fees, which is unfortunately a feature of the business environment that we're in. Those 3 items alone is probably worth about -- a delta of about GBP 450 million year-to-date to the prior year. And even including them, we're down 8%. And of course, next year, we'll have 2012 comp deferrals roll down and we'll lose 2011 comp deferrals and we'll have a bit of last year roll-off as well. So I think cost is something we can absolutely get after and are getting after, and I think that will be an important lever for us. In terms of capital, the third remaining lever, we've already done quite a bit of action in there by reducing the allocation of leverage and risk-weighted assets that we're comfortable allocating now to the IB. To the extent we need to make more modifications, of course, and by the way, that's not a question for the IB, that's for every business. If we see any part of our businesses that we don't think earn sustainable ROEs in an acceptable timeframe, obviously, we will take action, you saw us do that on May 8, but that's a broad generic statement in all of our businesses. In terms of compensation and the effects of the FX provision, obviously, compensation, JP, as you'd appreciate, is a matter for our remuneration committee, and they'll take into account a whole bunch of factors. Now in previous years, in fact, for over a year, all conduct matters are always taken into account in compensation, whether it was LIBOR, whether it was PPI, whether it's was swaps mis-selling, whether it was other conduct and mitigation probably doesn't have quite the headlines that FX does and I have no doubt that, that will be factored into Remco's deliberations around the appropriate compensation for any one of our divisions. So really no change to prior practice in that regard. Okay, we shall move on and we'll go to Andrew from Citi.
Andrew P. Coombs - Citigroup Inc, Research Division: Two questions, please. Firstly coming back to this leverage topic. Your GBP 1.32 trillion of after exposure, your aim is to go to GBP 1.1 trillion by end 2016. GBP 140 billion of that is due to non-core reduction. You've got GBP 60 billion on core. Presumably that's all from the Investment Bank, given the growth you're seeing in the 3 retail divisions, so perhaps you could provide the latest leverage exposures, it's down today in the Investment Bank and then also just elaborate on the further steps on how you plan to reduce that bit derivatives, repos, undrawn commitment and so forth? So that will be the first question. Second question, just turning to non-core. You've seen quite a large provision release there. If I look at the non-core wholesale credit risk loans, it looks to have declined sharply, so please could you elaborate on exactly what was driving that?
Tushar Morzaria: Yes, so on leverage, I think it's fair to say that when you look at our leverage exposure, approximately GBP 400 billion or so of that GBP 1.3 trillion of leverage exposure is derivatives and secured financing. Obviously, that's really sort of legacy in current investment banking operations, and I think that's where you'll see the bulk of the reduction coming from. So it won't be just from those areas, but I think you'll see a bias towards those items that we'll make those progress against. And frankly, you've seen us make more progress against -- most progress against in the last 12 months there will be a continuation of that. Derivatives and repos, you've seen us bring both of them down. There are number of ways we do that. There are obviously, TriOptima runs, bilateral tear-ups, unwinds, compressions -- is a feature of life, and we do that for a living now and have made good progress on over the course of this year. We don't publish derivative notionals, but that's just one way of looking at it. But you will all have seen, and I won't call this out because we'll publish it at year-end, but you'll see a material reduction in derivative and the notional at least year-on-year already. Repos, you've seen obviously come down, the repo exposure and leverage exposure. Undrawn commitments, we're very stringent in terms of making sure we only extend financing where we see profitable opportunities, and we'll be quite rigorous about limiting our balance sheet where we don't see profitable opportunities, so we will pull on that lever as well. In terms of non-core wholesale credit risk loans, the bulk of that is really coming from Spain, Andrew. So as an accounting matter, because we've announced the sale of our Spanish transactions, it actually moves out of loans and advances and into other assets, so it just drops out of that disclosure. So that's the bulk of what's been going on there. And as you'll see, if we close the transaction you'll see it released altogether along with the risk-weighted assets, which we expect to do around year end.
Andrew P. Coombs - Citigroup Inc, Research Division: And the provision release there, does it mean that doesn't relate to Spain? So is that -- that's something else, is it?
Tushar Morzaria: Yes, the provision release in non-core are just some recoveries that came through as a result of named specific items. Nothing individually significant I'd call out. Although maybe I should touch on this because it is related. When you look at impairment across the division, across the group, we guided to about, I think consensus was about GBP 2.4 billion at the half year and I said that's probably a reasonable number to have in mind. It will be a bit lower than that, but our impairment levels in the fourth quarter will be higher than they have been in the third quarter, so it won't be reasonable to just assume a sort of continuation of the GBP 500 million or so per quarter. It will be higher than that. Coming from really 3 areas, we will be making some changes to our impairment models, particularly in the consumer businesses. That will impact card, and that will be a significant increase to card impairment just in that quarter as we reset that and it's just recalibrating our models to our own data series. Secondly, we did see, as point -- perhaps to your question sort of, Andrew, we did see some releases and recoveries in the third quarter that are non-repeatable. So it's sort of slightly artificially depressed third quarter run rate because of that. And then finally, as we're get into the quarter, we're a month in, we can see the scope for having to take some particular single name items that will increase impairment in the fourth quarter. So that's hopefully helpful to you guys to just get a sense of why you should expect to see impairment, and you will see impairment tick up in the fourth quarter.
Andrew P. Coombs - Citigroup Inc, Research Division: That's very helpful. And just coming back to the leverage point quickly. I think at the year-end, you had GBP 490 billion of exposure on the Investment Bank. The aim was to get to GBP 400 billion. Can you just give us an idea where you sit currently?
Tushar Morzaria: We haven't called that out. We give you leverage exposure for the full core, which is just about GBP 1 trillion at the moment. The GBP 400 billion for the Investment Bank is on track, and we said we'll get there by 2016, and we'll get there by 2016, and that's now obviously on the BCBS measure rather than the PRA measure. The other thing I just want to say, of course, if you look at leverage exposure, I mentioned this a little bit earlier, for the core, it's already running close to 4%. So I think hopefully, that's sort of a helpful number for you to have in mind as to how we're thinking about the balance of the group. But the GBP 400 billion target, Andrew, remains on track. Okay. Shall we move to Manus from Autonomous?
Manus Costello - Autonomous Research LLP: My obligatory 2 questions both refer to a couple of slides in the Appendices actually. Firstly, Slide 28 on your cost targets. You're still looking for 16.3 of underlying costs next year, but you've got rid of Spain, or you will have got rid of Spain by then. So shouldn't that number actually have come down a bit for next year? Or are you seeing some inflation elsewhere, which has offset the reduction there? And my second question is on your capital stack slide, which is 34, I believe. You're talking about a 17% total capital ratio. I wonder if you could talk about what you think your TLAC ratio might have to be because it feels like it could well be higher than 17% and certainly higher than the 15% you're currently reporting.
Tushar Morzaria: Yes, okay, thanks, Manus, in the order on which you asked them. So on cost guidance at the moment, we're not reducing our cost guidance at this stage. We feel committed and we'll hit the GBP 16.3 billion that we guided for next year. I would say, we are absolutely committed to continuing to drop down the cost base as quickly as we can. Hopefully you've seen good evidence and seen us do that over the course of this year. We started the year at GBP 17.5 billion of guidance and dropped that down to GBP 17 billion and unless FX rates move things in the wrong direction, which by the way would be a high class outcome because it will bigger profits we'd print with...
Manus Costello - Autonomous Research LLP: How much would Spain lower cost by, once it comes out?
Tushar Morzaria: Spain is worth in the order of about GBP 200 million, a little bit more than that.
Manus Costello - Autonomous Research LLP: And it was in that original GBP 16.3 billion, wasn't it?
Tushar Morzaria: Well, we didn't give specific guidance of the makeup of that GBP 16.3 billion. But I think what I'll say at this stage is, GBP 16.3 billion is what we committed to, and if we can do better than that, we'll absolutely do better than that and we'll update you as we go along. On the TLAC question, that's sort of -- we don't the -- obviously the rules of what is in and what is outside TLAC. You've probably seen the lead term sheet that we've seen, so I don't know if that's true or not. Our current sort of capital ratio you saw on that slide, somewhere between 16% and 17% if you include senior unsecured issued out of our bank, that will take us into the high 20s. Now I don't know -- I don't think any of us know whether any of that will be considered part of TLAC. If it is, that's obviously very helpful, but we obviously are capable and would rotate that senior unsecured issued out of bank interholding company, and we can do that over time. You've seen us actually do a senior unsecured benchmark issuance already this year. You've seen us issue Tier 2 out of holdco already and you've seen us do AT1, so you see us already sort of moving...
Manus Costello - Autonomous Research LLP: And what sort of premiums would you would expect to pay for holdco versus bank because presumably this is a reasonable step-up in your funding cost over the next few years?
Tushar Morzaria: Yes, I mean that's hard to give a prospective number. And I can give you where we've issued Tier 2, and senior this year was about 15 to 20 basis points wider than bank -- a little bit of new issue premium probably in there as well. But anyway, that's what we've seen at the moment, but hard to know obviously what the future will be. It will be as much driven by exactly what issuance, by when and what type obviously, Manus, but that's what we've seen so far. Let's move to Tom from Exane BNP.
Thomas Rayner - Exane BNP Paribas, Research Division: It's Tom Rayner here. Just a couple on cost, please. Your comments you made on the '14 guidance for GBP 17 billion x CTA, I wasn't totally sure you thought you could meet that regardless of the FX headwinds or whether the FX headwinds might mean that you could sort of go slightly above that number. But my real question is, when I look at the 9-month figure and I look at the third quarter run rate, x the sort of GBP 100 million of litigation I think that was included in Q3 and add on the bank levy, it gross that up a bit. You still look like you should be comfortably below GBP 17 billion by a couple of hundred million maybe, unless there's more litigation-type stuff in the fourth quarter. My question is, really, should we be budgeting for sort of GBP 100 million to GBP 200 million a quarter for this sort of litigation type of expense as part of our overall thinking? And I have a sort of second question on cost to do with the deferrals and if you want that now or...
Tushar Morzaria: Yes, do you want to just drop it now and then I'll try and cover it in one shot?
Thomas Rayner - Exane BNP Paribas, Research Division: Yes, I mean I used model this, not any longer, but the impact in the IB of the vesting of the previous bonuses versus how much is deferred from the current year and as that rolls forward, assuming no big changes in the percentages, the sort of headwind maybe becomes a tailwind. I wonder if you could just sort of update us how '14 cost in the IB is affected by that dynamic and how that dynamic changes as you move into '15 and maybe even into '16, if you can look that far out on the best sort of cycle?
Tushar Morzaria: Yes, sure, okay, thanks, Tom. So on your first question about the GBP 17 billion, just to cover the foreign exchange. So when we sort of committed to the GBP 17 billion, I called out 2 big caveats, which have to be big for it to be impactful. One is a big move in foreign exchange and second is anything large and unpredictable when it came to litigation. On foreign exchange, dollar, euro and rand are the 3 currencies. Euro and dollar are kind of okay, with dollar sort of strengthened again a little bit this month, but I mean that seems okay. Rand is the one that's just sort of want to keep our eye on because that is strengthening quite a lot from the projections we made at least over the year. If it continues to strengthen, I think we'll be somewhere between GBP 17 billion to GBP 17.1 billion. So it -- I sort of think of that as actually a positive outcome because it will increase profits. But I think the real heart of your question was, what should we be putting in for conduct and mitigation? Unfortunately, this is a tricky one to really predict. I'd love to say 0, but obviously, it's not 0. You're seeing it's running at about 100 a quarter at the moment. Into the second -- into the fourth quarter, it's sort of, again, too early to tell you, unfortunately, because there are a number of cases that are obviously live and we're in dialogue on various things, and we'll see if they close or not. I would say that the fourth quarter, however, is a long close, so we won't be reporting our full year results until the back end of February. So that long close period does mean that if anything sort of material happens, it gets reflected in the fourth quarter's book. So it's just something to be mindful of, that's not a prediction, it's just a statement of how we are. Bank levy is probably one I can help folks with a little bit. We did see an increase in the bank levy rate by about 20% last year, and there'll be a new budget on the 3rd of December, so we'll see if there's any impact to this year's bank levy. But based on where I see our balance sheet ending up and a little bit of a guess on foreign exchange rates and assuming no change to the bank levy on the 3rd of December, my guess is somewhere around GBP 570 million is probably a reasonable place to be. Probably split 25, 25 -- sorry, 75-25 across core and non-core. Hopefully, that's a bit helpful. On the deferrals, Tom, I don't have the page in front of me, but I'm not sure you want to do this, but if you do want to, you can go to, I think it was Page 41 or 42 of our full year results announcement. And it lays out there, in quite good detail, exactly our deferral sort of timeline what rolls off and what rolls on, and it's split by the Investment Bank and on the Investment Bank. So you could, if you really wanted you could model it yourself, someone on the call may well have done it and maybe send it to you. But broadly, I think you're right that this could be a headwind in some years and a tailwind in other years. So for example at the moment, it is a headwind because we have higher levels of compensation in the years '11, '12 and '13, then I would anticipate this year just because we've -- obviously, we've got a smaller Investment Bank and performance hasn't been as strong. Now if next year we have a blow off year in the Investment Bank, then there's a tailwind because obviously, you'll see some of '14 deferrals get booked in '15. So it does sort of ebb and flow like that. It's a headwind at the moment, but absolutely, you're right, it could reverse. And obviously, the roll-off schedules, I'll just refer you back to that sort of full year announcement. Okay, thanks. Fiona from RBC.
Fiona Swaffield - RBC Capital Markets, LLC, Research Division: I had 2 questions. Firstly, on the leverage ratio and currency. In the quarter, what would the currency adjusted reduction be? And is that kind of a natural negative from a stronger dollar and the leverage ratio, I wondered? And the second area was my understanding is the dividend payout ratio is on adjusted, so before the one-offs. And obviously, this quarter, you've put where it's large litigation provision you put it below the line. Should I then think going forward, say, '15, '16, if there's something sizable, it doesn't theoretically affect your payout ratio?
Tushar Morzaria: Yes, thanks, Fiona. On your first question, about GBP 30 billion of FX headwind in that leverage exposure. So if you want to see the pre-FX leverage reduction it's in the order of about GBP 13 billion more. But FX is -- I know folks like to look at the FX impact on leverage ratios, but the reason why I sort of wouldn't spend too much time on it is because we're actually reasonably well hedged on an FX basis when it comes to leverage capital. So obviously a headwind in the exposure gets offset by tailwind in our capital number. For the ratio, it tells you everything. And the fact is, the ratio increase tells you what's really going on. It can be a little bit deceptive if you just look at the FX number in isolation. On adjustments and the impact of dividends. Again, Fiona, there's probably no change in guidance, and this may not answer your question directly, but it's going to be struck, for the time being, at 40% of adjusted EPS. What items will be adjusting items in the future? I mean, I can't obviously give you certainty on that, but you've seen this quarter alone, we've put some items that are significant credits of adjusting items and some items that are significant debit of adjusting items. So I think in broad guidance, size is probably important, and the fact that they are probably nonoperating in nature is important. But hopefully, that helps a little bit. Thanks, Fiona. Should we move to Peter from HSBC?
Peter Toeman - HSBC, Research Division: I just wanted to come back on the leverage ratio because my way of thinking is everything hinges on your GBP 1.1 trillion target for 2016. But within that target in 2016, you still have I think GBP 180 billion of leverage in the non-core. So I was wondering, if the worse comes to worst tomorrow, what's the scope for a bit of flexibility here in terms of sort of faster run-off of non-core leverage assets sort of getting you to a relatively high ratio?
Tushar Morzaria: Yes, thanks, Peter. So look, we've made very good progress in reducing leverage and increasing capital quicker than we anticipated, and we're ahead of timetable we set for ourselves, probably about 1 year ahead on leverage in terms of 3.5% milestone that we've reached and our objective function is to go as quick as we can. I don't know if you don't think it's helpful to sort of speculate too much sort of 1 day in advance of what the number will be and what the date will be. I'm sure we'll be meeting over the next few days and weeks, and once we have that, we can talk perhaps a bit more specifically about opportunity to go faster if we need to. But I'll just leave you with this sort of comment that we are going very fast and faster than we probably originally anticipated, and there is GBP 400 billion in derivatives and secured financing transaction that is still there, so I think that's probably the opportunity that we would look to mine the most. Thanks, Peter. Should we move to Mike from Numis?
Michael Trippitt - Numis Securities Ltd., Research Division: I just wanted to come back really to this question of sort of the JP's point about the sort of bigger picture view of IB and just get your sort of theory around flexibility on the cost base going forward. I mean, I take onboard what you're saying, pretty good production, taking into account some of the factors role-based pay, et cetera, et cetera. But there's a slightly heavier outcome on leverage or whether this is cyclical or structural, we can debate that forever, I guess. But the issue is really just around trying to understand the flexibility on the cost base, particularly going into 2015?
Tushar Morzaria: Yes, I mean, it's a really good question, Mike, and I think -- the difficulty here is, it is flexible, but it's not flexible real-time, and that's somewhat driven by just accounting and our deferral mechanisms. So I can hopefully give you snippets about why the cost base is coming down even more than the underlying may suggest it is and we've talked about role-based pay. We've talked about at some point conduct and mitigation, hopefully, goes back closer to 0 at some point. We won't have the elevated legal fees, which we do all put through the Investment Bank. We could choose to put that somewhere else, but we leave it in the Investment Bank at the moment. So -- and on top of that, we have reduced the cost base by 8%, so hopefully you're seeing the evidence that there is a degree of flexibility in that, but it's just a slightly asynchronous thing that we have. The other thing I'd say, Mike, and to everybody, we are committed to running the IB on returns as is obviously, the IT itself more committed than anyone to run it on returns. And we'll continue to, just like any other business, continue to modify and tweak as necessary to make sure we get the appropriate returns given whatever capital and other regulatory environment that we find ourselves in. So hopefully that helps a little bit. So I think we've got one more question. Fahed from Redburn.
Fahed Kunwar - Redburn Partners LLP, Research Division: Just a couple of questions. The first one was on -- thanks for the disclosure on the notionals coming down and the derivative books in the non-core. I guess my question was more -- there's concern on the rates business, obviously it's quite long-term derivatives product. The novation and the kind of TriOptima collapse in the derivative books, is that on the longer duration products? Are you still struggling to do that? And I guess, broadly, what I'm asking is the maturity of that non-core derivatives book coming down as you collapse those notional exposures. And my second question was on the margins. So you've talked about on the mortgage or the retail side saving margin getting a lot stronger. It's interesting because a lot of your peers are saying that the deposit repricing is almost done now and that's been the case for fully a couple of quarters now. How come you guys had such a big expansion this quarter and haven't had it in previous quarters?
Tushar Morzaria: Yes, thanks, Fahed. So in terms of the maturities of our sort of derivative compression exercises, it's actually across the full maturity spectrum. So as you guys all know, all that sort of the TriOptima or bi-lateral compressions look for are just riskless portfolios that we can simultaneously tear up without any mark-to-market transfer or sort of position change, so it's not geared towards any particular maturities. We're just looking for risk ladders that are mark-to-market neutral and delta neutral, so not biased anywhere. So the denotionals all will come down across all maturities. This is what you should expect to see. In terms of margin, deposit margin, yes, we did see a pickup in deposit margin as well as balances. I don't think you'll see that continue, obviously, deposit rates are actually pretty low and we've seen good inflow into our savings accounts as we've continued to lower rates a little bit. And actually our balances continue to go up and we haven't really seen that reverse at all, if anything, balances are holding quite strong and steadily increasing, but I don't think you'll see continued NIM expansion from there. I think that will be broadly stable is my expectation. Thanks. So I think that's it for questions. In terms of just wrapping up, I think I just leave you with a few points. Remind you what I sort of keyed off on or finished off on my scripted remarks. Just to remind you, increased pretax profits both year-to-date and year-on-year for the quarter; lower costs for the third consecutive quarter, and indeed, the lowest cost quarter for 5 years; improvement in capital and leverage, double-digit return on equity in our core business; continued shrinkage in non-core; and of course, an improvement in the book value of the company. Many of you have asked questions on leverage and what to expect from tomorrow. We'll find out in due course. But just to reinforce with everybody, I think we have a strong degree of confidence that we should be able to cope with most of the outcomes that may or may not happen tomorrow, but we'll be meeting, I'm sure, again in the next few days and weeks, and we can talk in a lot more detail about that with the facts with us. So with that, I'll sign off. Thanks for joining me.